Operator: Good morning, ladies and gentlemen, and welcome to the Henry Schein Second Quarter Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session, and instructions will follow at that time. [Operator Instructions] As a reminder, this call is being recorded. I would now like to introduce your host for today's call, Carolynne Borders, Henry Schein's Vice President of Investor Relations. Please go ahead, Carolynne.
Carolynne Borders: Thank you, Ray, and thanks to each of you for joining us to discuss Henry Schein's results for the 2018 second quarter. With me on the call today are Stanley Bergman, Chairman of the Board and Chief Executive Officer of Henry Schein; and Steven Paladino, Executive Vice President and Chief Financial Officer. Before we begin, I would like to state that certain comments made during this call will include information that is forward-looking. As you know, risks and uncertainties involved in the company's business may affect the matters referred to in forward-looking statements. As a result, the company's performance may materially differ from those expressed in or indicated by such forward-looking statements. These forward-looking statements are qualified in their entirety by the cautionary statements contained in Henry Schein's filings with the Securities and Exchange Commission. In addition, all comments about the markets we serve, including end market growth rates and market share, are based upon the company's internal analysis and estimates. The content of this conference call contains time-sensitive information that is accurate only as of the date of the live broadcast, August 6, 2018. Henry Schein undertakes no obligation to revise or update any forward-looking statements to reflect events or circumstances after the date of this call. Please limit yourself to a single question and a follow-up during Q&A to allow as many listeners as possible to ask a question within the one hour we have allotted. With that said, I would like to turn the call over to Stanley Bergman.
Stanley Bergman: Thank you, Carolynne. Good morning everyone, and thank you for joining us today. We are quite pleased with our results for the second quarter, which reflects solid revenue growth in general healthy end markets, as well as our continued success in gaining market share in all of our business groups. We are in early stages of executing on our new strategic plan for 2018 to 2020. Yet we're already making solid strides, and expanding our offering of innovative solutions, and extending our value proposition for our customers. We are indeed excited about the potential for our new dental technology joint venture Henry Schein won, which closed on July 1. This joint venture was created to deliver integrated dental technology that combines leading practice management, marketing and patient engagement solutions into one connected management system. Our medical business remains highly relevant, as of course, reflected by our continuous and sustained growth in sales and market share. We are on track with - prepared for the plan you know [ph] of our Global Animal Health business with Vets First Choice, and a combination with Vets First Choice, which will create a new publicly-traded company to be named Vets First Corp. We believe this transaction will unlock shareholder value for Henry Schein shareholders, as Vets First Corp will be well-positioned to achieve a premium market evaluation. In addition, of course, we believe Henry Schein will continue to drive further growth in our leadership positions in our dental and medical businesses as a result of our sharp focus, and of course, increased investment of resources. We are focused on the development of practice management and clinical solutions that are highly relevant to our customers, and we have been successful as a result of our commitment to a high-touch value-added approach, which has advanced our brand equity. We are committed to the strategy in long-term, and we believe it will continue to advance our brand equity, and accordingly, shareholder value. Our strong relevance to our customers also means a continued focus on accelerated innovation within our dental, medical, and animal health platforms, particularly with dental's digital dentistry, and we remain agile embracing an operating culture that is fast. It stays true to our values, and our collaborative and entrepreneurial spirit. With exciting changes taking place for the Henry Schein this year, we are at a pivotal moment as we draw it forward with innovation that we believe distinguishes our go-to-market strategy, and will help our customers operate in more efficient practice. So the practitioners can deliver quality clinical care. I would also note that we are providing more details today on our comprehensive restructuring plan designed to increase profitability by improving business efficiencies, reducing redundancies, and optimizing Henry Schein's infrastructure. Steven will walk you through those details, but first, I would like to comment on why we are undertaking this initiative. If I'm continuing to streamline our operations, we expect to create a leaner organization that will allow us to better serve our customer's rapidly-changing needs and our ability to continue to build shareholder value. These changes are difficult to make. However, we recognize they are necessary to enable Henry Schein to continue to build upon our success as well as to deliver solid long-term financial service to our shareholders. Now, let me ask Steve to review our financial results, restructuring, and guidance. And then, I'll provide some additional commentary on recent business performance and our accomplishments. Steven?
Steven Paladino: Okay. Thank you, Stanley, and good morning to all. As we begin, I would like to point out that I will be discussing our results, both on a GAAP basis and also on a non-GAAP basis. Our Q2 2018 non-GAAP results exclude restructuring costs of $14.9 million pre-tax or $0.07 per diluted share as well as transaction cost related to the planned Animal Health spin-off of $7.6 million pre-tax or $0.05 per diluted share. Also, our Q2 2017 non-GAAP results exclude a litigation settlement expense of approximately of $5.3 million pre-tax or $0.02 per diluted share. We believe the non-GAAP financial measures provide investors with useful supplemental information about the financial performance of our business and able to comparison the financial results between periods, where certain items may vary independent of business performance, and allow for greater transparency with respect to key metrics used by management in operating our business. These non-GAAP financial measures are presented solely for informational and comparative purposes and should not be regarded as a replacement for the corresponding GAAP measures. For reconciliation, see Exhibit B in this morning's earnings release as well as on the Investor Relations section of our Web site. So, now turning to our results, net sales for the quarter ended June 30, 2018 were $3.3 billion, reflecting 8.7% increase compared with the second quarter of 2017 with internally-generated sales growth in local currencies of 4.8%. When also excluding the impact of certain products switching between agency sales and direct sales, which impacts both our animal health and to a lesser extent our technology businesses in North America, our normalized internal sales growth in local currencies were 6.1%. You could also see the details of our sales growth on Exhibit A of our earnings news release. Operating margin for the second quarter of 2018 was 6.1% and contracted by 83 basis points compared with the second quarter of 2017, as a result of the few factors. Our operating margin in the second quarter included restructuring cost as well as the transaction cost related to the planned Animal Health spin-off and the prior year included litigation cost. These three items combined to negatively impact the year-over-year operating margin comparison by 50 basis points. Excluding the impact of these items, our operating margin contracted by about 33 basis points year-over-year. The operating margin in the second quarter was negatively impacted primarily by lower gross margins in North America. We do have as a priority a plan to increase sales of higher margin products to drive gross margin improvements across our businesses. We believe this will enhance our offering with additional technology as well as other practice management solutions while advancing our specialty products businesses, our Henry Schein brand, and our other exclusive products and brands, just to name the few areas of focus. These initiative will take a little bit time and the investment - and investments of the return will be not recognized immediately, but we believe we can make good progress towards these goals this year as we execute on our - by 2018 to 2020 strategic plan. Our reported GAAP effective tax rate for the second quarter of 2018 was 24.9%. This compares to 28.7% of our GAAP effective tax rate for the second quarter of 2017. On a non-GAAP basis, which excludes the income tax benefits of the restructuring and spin-off cost - our effective tax rate 24.1% and this compares to 29.0% for the second quarter of last year also on an non-GAAP basis. We believe our full year 2018 effective tax rate will be in the 24% range. Moving on, net income attributable to Henry Schein, Inc. was $141.2 million or $0.92 per diluted share on a GAAP basis, representing growth of 3.8% and 7% respectively compared to the second quarter of 2017. Non-GAAP net income attributable to Henry Schein, Inc. for the second quarter of 2018 was $159.8 million or $1.04 per diluted share. And this represents growth of 14.7% and 18.2% respectively compared with the second quarter of 2017. I'd also like to provide some additional color on our results noting that amortization from acquired intangible assets was $30.2 million pre-tax or $0.15 per diluted share for Q2 2018. And for the first-half of the year amortization from acquired intangibles assets was $61.3 million pre-tax or $0.30 per diluted share. Also note a foreign currency exchange had a positive impact on diluted EPS for the quarter of approximately $0.01 per share. Let me now provide some detail on our sales results for the second quarter. We call that Good Friday sell in Q2 last year compared to Q1 this year which resulted in one additional selling day in Q2 of the current year and several major countries internationally and I'll discuss those details in a moment. Dental sales for the second quarter of 2018 increased 8.4% to $1.6 billion with internal growth in local currencies of 4.4%. Our North American internal growth in local currencies was 5.1% and included 4.7% growth in sales of dental consumable merchandise and growth of 6.2% in sales of dental equipment sales and service. The impact on dental consumable merchandise sales growth related to Good Friday was relatively immaterial at approximately 15 basis points. Our International Dental internal growth in local currencies was 3.4% which included 3% growth in sales of dental consumable merchandise which was favorably impacted by approximately 1% due to the timing of Good Friday and our growth in dental equipment sales internationally was 4.7%. Our Animal Health sales were $985.9 million in the second quarter, an increase of 10.6% with internally generated sales growth in local currencies of 4.4%. The 4.4% internal growth in local currencies included 3.2% growth in North America. However, when normalizing for the impact of a manufacturer switching from a direct to an agency agreement, sales growth was a robust 10.9%. We believe this double-digit normalized sales growth for the quarter reflects a healthy end market. International Animal Health sales growth in local currencies was 5.8% and was favorably impacted by approximately 1% due to the timing of Good Friday. We have a commitment to gain market share to our offering of a wide range of products and providing relevant value-added solutions which is reflected in the continued success of our Global Animal Health Group. Turning to Medical; our Medical sales was $640 million in the second quarter, representing an increase of 7.5% with internally generated sales growth in local currencies of 7%. And that 7% included 7.1% growth in North America and 4.9% growth internationally. We are very pleased with our overall Medical sales results, which is primarily driven from solid organic growth from existing large customers. Technology and Value-Added service of sales was $103.8 million in the second quarter, an increase of 4.9% with internally generated sales growth in local currencies of 3.0%. In North America, Technology and Value-Added Services had internal sales growth of 1.7% in local currencies, or 2.2% growth when normalized for again certain products switching between agency sales and direct sales. Our international sales of local internal sales growth was 9.3% and was strong across the board, highlighted by double-digit growth in both financial services and dental software revenue. We continue to repurchase common stock in the open market during the second quarter. Specifically, we purchased approximately 744,000 shares during the quarter at an average price of $71.69 per share representing approximately $53 million. The impact of this repurchase on our second quarter results was immaterial. Also at the close of the second quarter, Henry Schein had approximately $147 million authorized for future repurchases of our common stock. If we look at our operating cash flow for the quarter, the operating cash flow was $287.8 million compared to $228.7 million last year. We continue to believe we will have strong operating cash flow for the year. Now I'd like to walk you through some additional details on our plan restructuring. We recently announced this initiative to rationalize our operations and provide significant expense efficiencies. Periodically we look to reduce costs particularly following a number of acquisitions as we have done in the past. Accomplishing this to a coordinated effort is the most efficient meanings to reduce and utilize cost optimization. As we noted last quarter, we looking at opportunities to augment our technology solutions generated improved efficiencies across the business particularly with redundant activities resulting from prior acquisitions. In an asset to create a lean organization there will be some headcount reductions that may also include consolidation of certain warehouse and other activities in order to eliminate such redundancies. Although we always consider what is the benefits significant and up to one of the amount of resource and attention and cost that is associated with these transactions. These actions will allow us to execute on our plan to reduce our cost structure and for new initiatives that we believe will drive future growth under our 2018 to 2020 strategic plan. We expect to record onetime restructuring charges in 2018 of between $45 million and $55 million on a pretax basis or $0.22 to $0.27 per diluted share. These restructuring charges primarily include severance pay, facility closing costs and outside professional and consulting fees directly related to the restricting plan we expect savings from these restructuring initiatives to have an average payback and about 18 to 24 months after the completion of these efforts. I conclude my remarks by noting, raising the bottom end of our 2018 non-GAAP diluted EPS guidance range at this time we are not a able to provide estimates for the impact of total cost related to the planned Animal Health spin off in our 2018 financial results, therefore we are not providing the corresponding GAAP guidance. Note of that 2018 guidance is based on current revenue recognition standards and we do not believe that the impact of the new revenue recognition standard ASC 606 will be material to our results. So 2018 non-GAAP diluted EPS attributable to Henry Schein is now expected to be $4.06 to $4.14. A reflecting growth of 13% to 15% compared with the 2017 none-GAAP diluted EPS of $3.60 and this is versus with our prior guidance of $4.20 to $4.14 per share. The guidance includes costs related to our previously announced one-time cash bonus to slightly designated staff members and excludes costs related to the restructuring and plan spend-off of the Animal Health business in 2018. 2017 non-GAAP results exclude cost related to taxes associated with U.S. tax reform legislation a loss associated with Henry Schein divest mature of the equity ownership and E4D technologies and a litigation settlement expense in 2017. The guidance assumes that end markets remain stable and are consistent with current market conditions. Also our guidance is what continuing operations as well as completed our previously announced acquisitions and does not include the impact of any potential future acquisitions. This guidance also assumes foreign exchange rates are consistent with current levels. Following the close of the Animal Health spin off Henry Schein expects to deliver the EPS growth for the remaining consolidated Henry Schein business in the high single-digit to low double-digit percentage range. We expect to update our full-year guidance for the remaining businesses once the spinoff closes, so with that I'd like to turn the call back over Stanley.
Stanley Bergman: Thank you very much Steven. Let's review some business highlights from our second quarter 2018 results. In our general business, we of course are pleased with our 4.7% internal sales growth in local currencies, in our North American general consumer merchandise business. This is the highest quality growth rate since the fourth quarter of 2015. This growth in part reflects a favorable comparison versus the second quarter of 2017. We continue to believe the end market is stable, and we have benefited from market share gains. North America dental equipment internal sales in local currencies grew by 6.2%. General equipment sales growth was solid with a number of our key manufacturing partners in the second quarter of 2018, including Teva, Linmark, and Adec. With respect to dental equipment sales in North America, we continue to make good progress in the second quarter, and have been pleased with the overall product line ramp in the U.S. as part of our strategy to offer our customers a wide selection of choices to meet each of the nation's unique practice needs. Looking at our equipment categories, local internal North American CAD/CAM sales were up 35%. Overall, North American high tech equipment sales were relatively flat, since strong CAD/CAM sales growth was offset by soft digital X-Ray sales, imaging sales, we believe the soft digital imaging sales are primarily due to higher market penetration. Although we expect this market still be a very solid market in the years to come. On a global basis in local currencies, CAD/CAM sales grew by more than 28% that's on a global basis and our dental implants business grew at approximately 5% on an organic basis. Looking at international business, we believe the end markets in Europe including Germany, our largest European dental market are stable. We are benefiting from our dual market approach in offering full service as well as telesales and e-commerce distribution capabilities in many European countries. In understanding the specific needs of our customers with practice size and focus with the general dentists or specialists and delivering solutions for those needs, we create closed relationships with our customers. I think this is such a key component part of our success, and really needs to be appreciated and understood by all of our constituents. In May, we announced the launch of our SLX clear aligner system, and we have been very pleased with the progress today. We just started taking orders towards the end of the quarter, so we are still early in our launch process. But feedback to-date from customers and KOLs, the Key Opinion Leaders, network has been quite positive. The goal of a clear aligner solution is to reduce overall treatment time, while improving practice efficiency. We believe there is significant growing global market potential for aligner products, we see this market are still growing nicely, and we look forward to building our aligner business as we launch our system in the United States to a great extent through the balance of 2018, and we expect to expand in new geographies in the earlier part of 2019. Now, let's talk about the Animal Health Group. We are pleased with the global animal health sales in the second quarter particularly North America with normalized internal local currency growth of approximately 11%. Our team is working diligently to prepare for the spin-off of our global animal health business and the simultaneous merger with their first choice to create and noted earlier in the conversation with First call. While we are working towards the goal of closing money in the calendar 2018 it is possible that the closing may slip into the first quarter of 2019. We believe that first quarter will provide veterinarians with powerful new platform to grow their practices, of course, through improving client engagement, and of course, driving their health care outcomes with paying. Following the close of the transaction, Henry Schein plans to continue to pursue our wide ray of growth opportunities in a broad based dental and medical business. As we implement our 2018 to 2020 strategic plan. Our focus will remain on delivering innovative solutions that enable customers to deliver best quality care while increasing the efficiency of our customer's practices, including driving great a patient traffic and enabling technology and equipment interoperability it's very important. American business also continued to perform well with high single-digit growth in local currencies, our customers are allowed a consultative high touch model which helps they've adapted evolving healthcare environment while remaining nimble and efficient as the enterprises growth. Our strong supplier relationships and supply chain expertise are central to our strategy and have been able to us to grow our America business more rapidly that end market growth. Our success is driven by differentiated strategy including customer segmentation, now you added solutions in our strong brand equity. We have deployed customize account management models to effectively service healthcare systems, ambulatory surgical centers, emergency medical services, urgent care clinics and independent physicians' offices with products, services and yes solutions that are highly relevant to the practice. Moving on to our technology and value-added services business, we're now in early July that we closed on our joint venture to for Henry Schein One which is a new dental technology and service company offering one connected technology platform for innovative software, hardware and services. Henry Schein One is integrating our solutions into one practice management system that connects office technology, office digital solutions are seamlessly integrated, share more data and more at automate more tasks. Our plan is to out of bundle software packages to our customers, starting with implementing demand for office site products into our dentals and easy known software packages. In the coming months we plan to continue to add additional bundle practice management solutions and for example bundling software solutions, such as - for the specialty dental practices. So I would like to spend a few minutes discussing the cornerstone of our strategy and a key differentiator to our business which is our portfolio of value-added solutions. We have received feedback from investors that the investor community would like to better understand what the solutions are comprised of and how these value-added solutions will have impact on our business results. While many competitors seek to compete on low prices only and often with a limited selection of products, we offer competitive pricing while also providing the broadest array of products and solutions and support that help customers operate in more efficient practice that commissions can deliver quality care really, really important strategy that we've had in place for decades and has worked so well for Henry Schein. Our high-touch value-added model is focused on four key elements. Education, service and support, software and innovation and finally strong customer relationships are offering expense beyond supplies and equipment to business solutions, technical service digital technology and practice management and clinical solutions. Our practice management and clinical software capabilities are differentiated by our continued investment in customized tools and investment specific practice challenges, we have an industry leading presence with more than 40% of the income practice group and more than 55% of annual practices in North America using our practice management solutions platform and a significant installed base of many international markets and many of these international markets. This software is in fact bound to efficient practice operations for how the clinical records of processing e-claims for credit card processing inflation reminders. We take a holistic approach to develop the systems, system interoperability the practice to ensure that efficient and seamless end-to-end workflow for instance enterprise is designed to work with more than 40 medical solution software solutions and dozens of equipment suppliers solutions and systems and it also easily shares data with other solutions providers used by practice. Through Henry Schein One, we expect this portfolio for continue to expand and particularly the offering of powerful tools to help the practitioners operate more efficient practice so that the practitioners can focus on providing with best of clinical care. This is across another key elements in our early approach that benefit our connections loyalty program pulling privileges with customers elect to partner with Henry Schein for a majority of their annual consumable merchandize equipment purchase to award our customers with services that are highly valuable to them. In fact, approximately 60% of our North American dental consumer sales including DSO sales are associated with the connections program. Benefits of the program include exclusive discounts with our loyalty program, customers receive exclusive discounts and competitive pricing on consumable merchandize and equipment exchange for volume commitments; really important to understand those often miss, the pricing we give our customers is a real advantage. Guaranteed response fundamental pay generally on service technicians will be made available same-day for emergency repair services for our connections to customers. Customized practice analytics, the data we collect from our practice management solutions we are able to customize reporting based on specific practice operations and help vendors improve efficiency and the cost of key by-products event generate increased patient traffic. Last year alone we have used more than 5,000 of these customers customize report with our dental customers helping better physician, those practices competitively. We're supporting filling analysis, new product procedures such as dental implants, orthodontics and digital prosthetics and enhancing patient communications to name a few. In our services, our elite customers all time and internal VIP account representatives who failed to provide one core convenience to the patient with systems with product needs or across special services. We have over 4200 highly trained field service consultants supported by other 2200 service sales representatives that stay a brisk of market development and 100s of new products, services and technologies that are introduced to the market each year. Our goal is to provide customers with extensive array of consumer momentum, pharmaceutical equipment and value added services from software to financial and office design services all delivering higher level of customized service and support. These field sales consultants are supported by specialist focus on different practice sites, specialties equipments and software and the largest and most effective tele-sales organization in the business. With that, operator, we'd like to open the call to questions.
Carolynne Borders: Ray, let's go ahead and start the Q&A.
Operator: [Operator Instructions] Your first question comes from the line of Jeff Johnson from Baird. Your line is open. Please ask your question.
Jeff Johnson: Thank you. Good morning, guys, and congratulations on the nice improvement in the dental numbers. Steve, on that dental point, I guess my question is on the general consumable side, any further color you can provide as far as did market strengthened during the quarter, was there any change in DSO versus your private practice business, and maybe any commentary around general consumables versus some of the specialty stuff?
Steven Paladino: Sure. So I don't think the market really changed in any significant way during the quarter. We did take more market share I believe. To be fair, we did have a little bit of an easier comparable last year, but going forward, even post Q2, we did see continued strong revenue growth in the consumable merchandize in North America. So we're executing well. Dental specialties did help a bit, because they were in the mid to high single-digit growth rates. So it was growing a little bit faster than the general consumables. But then again overall I think market is very stable and we are really executing well and taking some market share.
Jeff Johnson: All right. That's helpful. And then as follow-up question, just on the minority interest, you bought out I think the remainder of the vet minority interest shares in a couple of different businesses, when was that complete? Is the minority interest line we thought about $6 million reduction, is that a fair way to think about going forward? And the corollary on that, if it is it looks to me like embedded in your guidance then is that margins may be down a bit still in the second-half of this year. We were thinking they might be closer to flat. So can you maybe help us connect kind of the moving parts there on buying out those minority interests and how to think about margin over the back-half of this year? Thanks.
Stanley Bergman: Sure. The benefit from minority interest will be a bit greater in the second-half because it's basically composed of two areas. The first is the Henry Schein Animal Health buyout of the minority interest, which is only a partial quarter benefit because we did it during Q2. I think it's sometime in the April or early May timeframe we did it. We completed it. So, you'll get a full-quarter benefit in Q3 and Q4. And the second piece of it was related to what we did at the beginning of this year, we bought out BioHorizons. So that is the full-quarter benefit in Q2. But we do feel like we can continue to get that benefit again going forward on a full quarterly basis. Margins have a lot of different moving parts. So we may be a little bit lighter than we originally planned on operating margins. But we still feel good with the overall business and the overall growth. And that's why we are raising the bottom end of our guidance.
Jeff Johnson: Thank you.
Stanley Bergman: You are welcome.
Operator: Thank you. Your next question comes from the line of Ross Muken from Evercore ISI. Your line is open.
Ross Muken: Good morning, guys. So maybe on just pricing environment in general, I mean how would you kind of characterize it against the separate sub groups of sort consumables specialty consumables, instrumentation on the dental side? And any notable differences U.S. versus international? Just teasing back to kind of the margin commentary?
Stanley Bergman: I think, Ross, it's fair to say that pricing pressures are there to some extent. Of course, the internet provides a vehicle for an exchange of information. I don't think results involve orders going to online retail as per se. But there is a little bit more openness on pricing. I wouldn't say it's material. But what this does to save time is offer us an opportunity to talk to the customer where price is important in our corporate and other competitive offerings of certain manufacturers. Certain manufacturers are responding generally to the competitive pricing. And this is both in dental and medical. I wouldn't say it's that much in the pharma side of the animal health. But in medical and dental, I think the manufacturers are understanding that in order to maintain or growth their market share, there have to be a competitive way this product that is not really massively innovative. And so - and this is marginal, but I think in the end, as we drive more high margin products and value add services, I think we will continue with expanding our operating margins, of course, in conjunction with the efficiencies that we are bringing to our business driven by an implementation of more technology.
Ross Muken: Excellent. Thank you.
Operator: Thank you. And your next question comes from the line of John Kreger from William Blair. Your line is open.
John Kreger: Hi, thanks very much. Stan, can you just maybe go back to the comments you made at the beginning of the call about the new strategic plan for '18 through '20? And just maybe expand on that a little bit to the extent that you are willing. What's new in the plan versus the prior three years? And is there anything specific in there relating to medical since you've made a couple of big moves in dental and animal health? Thanks.
Stanley Bergman: Yes, let me just go quickly through the medical. We are - first we are committed to human healthcare essentially from a high level strategic point of view, 18% of GDP is expended on healthcare, two third of that in the non-communicable diseases area which is essentially driven by and can be reduced by wellness intervention program. This has always been at the heart of Henry Schein's medical business. The alternate care environment that displace the wellness and prevention to take place moving out of the hospital the surgery center, and this is an area we expect to continue to advance. Of course, organically we should very good growth there. We have some very good opportunities ahead of us. Sometimes a bit more lumpy, but essentially this business has done well for years now. And we expect it to continue to do well. And inorganically, there are opportunities to add to that platform I think some profitable businesses that service the alternate care site. So we remain optimistic. As far as the strategic plan is concerned, there are three major planks. The first is to continue to drive efficiencies and make our distribution offering more attractive to our customers. I am not sure this is the time to deal with it but because of time. But Carolynne or Steven can take you through the details. There are many many component parts of this. Some are just an extension of what we had in the '15, '16, '17 strategic plan. Other planks are greater focus on new operating, expanding the operating. Of course, I think what is important here is understanding of way technology is heading and how to use to technology in our business. Lots and lots of technological opportunities we can't afford them all, but we have to focus on what is relevant. And I think we have some very, very good plans there to increase the efficiency and the effectiveness of our distribution business. So second is expansion of value added service. I would say a significant down payment of that towards that goal is the creation of Henry Schein One where we are offering not only leading practice management system in this country and abroad but also the demand generation software in combination with a practice management system for small, midsized, large, for institutions, dental schools. And the goal here at the end of the day is to increase efficiency in the practice, help with clinical services, make it more efficient and drive traffic into the dental office. So that's a key part of second strategy but also a huge number of value added services that we will be expanding on or that we are doing to continue to expand on and add to in the years to come. And the third is advancing our brand equity. We think the Henry Schein brand is well known. It's trusted. We think we can advance in that regard on our private brand other exclusive products and in particular on the specialty side where we have made some terrific advancements on our own brand products either with manufacturing on behalf, or we where we are vertically integrate. So, lots of opportunities in advancing high margin products under our own brand or brands that we have a control over as well as exclusive. And we are working with many manufactures in that regard as well the whole brand equity strategies of attraction to many manufactures. So it's those three areas advancing the core distribution business, focusing on value added services and advancing our own brand strategy. None of these are new strategies. These have been put in place several years ago. And it's a matter just advancing and providing significant focus which is the reason why we believe we need to spin off the animal health business which had a different need for focus different concepts, different opportunities. And with the cash we are going to generate from that spin off, we will be able invest in both the Animal Health and Medical and the Dental business on a global basis.
John Kreger: Very helpful. Thank you.
Stanley Bergman: Sure.
Operator: Your next question comes from the line of Kevin Ellich from Craig-Hallum. Your line is open.
Kevin Ellich: Thanks for the taking the question. Stan, just wanted to follow up on that. I mean clearly with one and a quarter billion dollars which area seems the most effective in medical or dental? And would that be domestic or global? And then for Steve, Animal Health business remains very strong, can you give us a little color on the competitive landscape and did you say that it could - the spin-off could slip into early 2019?
Stanley Bergman: Thanks, Jeff. The first question, what we can do with the money? So what we will do with the money will be very, very simple; similar to what we've done in the past. Some of it will go towards buying shares back. That's the way we return cash to our investors, it's worked out very well for us, it's relatively cash-free - cash effective way of getting cash into the hands of our shareholders, and as I said, it's worked well. The remainder, there will be a little bit that goes into working capital, but I don't think much, because we expect to be significantly cash flow positive. So the majority will go into investing, and investing only based on strategy opportunity, but also the best return on investment opportunities in the short to medium term. I would say this would be in the medical and dental space, geographic expansion, greater market penetration on the distribution side, value-added services, for sure, we think that the Henry Schein One platform presents huge opportunity to expand our presence in the digital community, specifically in regards to getting patients into the dental office. We have a small dental plan already in there. We think we can add to that and a number of software and other opportunities as they relate to the software area. But then, and of course, the specialty area as well, and adding to that specialty platform, areas that although we may sell the products, whether it's medical orthopedics or diagnostics or specialties like dermatology, which is doing well, aesthetics, and greater variety of products, specialty houses to the platform, the opportunities are endless. And the question is focus as our Vice Chairman, Jim Breslawski always says, we could do anything but not everything. And so, we will be focused on the most strategic but also on the most accretive opportunities for the short to medium term.
Steven Paladino: Just on the second part of your question, Kevin, so no real significant changes in the competitive landscape that are going to people's attention. And the second part of your question on Animal Health, we did say that it is possible that the spin closes in early Q1. We are still shooting for late Q4 closing. The thing that we really can't predict with great certainty is how long it will take the registration statement to go through SEC and how long it will take to respond to whatever comments the SEC has. And that's why - because we can control that, and that could be a reasonably short process or a longer process depending on the questions and comments. So for that reason, we say it's possible, it could slip into Q1.
Kevin Ellich: Thanks, Steve.
Operator: Your next question comes from the line of Erin Wright from Credit Suisse. Your line is open.
Erin Wright: Great, thanks. In Animal Health, did you see an incremental impact at all from weather-related items, I guess, in the quarter from the delayed flee and tick season, should we anticipate continued strength in the third and fourth quarter, if you could give us a sense of the quarterly profession and the underlying demand trend you're seeing that would be great. Thanks.
Steven Paladino: Sure. Probably we had a little bit of help given the warm climate in parts of the country, but what that does is it typically means that the flee and tick season is the longest season that is starting earlier. So hopefully that helps a little bit. But overall, we still feel good about the end markets and our ability to gain market share in Animal Health, and the flee and tick season will continue in Q3 and a little bit into Q4.
Erin Wright: Okay, great. And then, on clear aligners, in particular, can you just speak to kind of the opportunity, how you kind of stack-up related to the competition there and then what sort of contributions are embedded in your expectations near-term, or is it more of a longer-term contributor? Thanks.
Stanley Bergman: Right. Erin, we're not providing specific guidance, nor we're contemplating significant profits in the near-term. This is a launch of our new products offering, which is based on the technical first motion 3D system. It uses a unique combination approach with an intuitive and supplied treatment process, whether from minor crowding or cases requiring more extensive work to correct the issues. Our system addresses the correction upfront with the motion 3D system, a three to four month process before the aligner is introduced. As a result, we believe fewer aligners are needed, so this is part of a comprehensive solution, and we believe it's a competitive solution, some of which requires - very often 60 to 86 set of aligners for complicated case versus ours, which we believe will be 20 to 30. And we believe ours is competitively priced. The bottom line is it's a new idea, it does use aligners, we believe we have a significant number of KOLs that are supporting this. It's been well-received, but it is just one product offering, one value-added solution within hundreds within Henry Schein. We're very optimistic. Orthodontic team are highly capable, highly qualified, they are with us for a long time. So we're not giving projections right now, but are very enthusiastic that our whole orthodontic offering - as part of our general specialty offering of implants and bone regenerations and endo will continue to move along in a nice way, and is the basis - in general the basis for our statement that we'll be moving to more over time to more high margin products that I think will provide greater stickiness to our customer base. So, no specifics on contribution of profits, we're just excited to launch, and extremely happy with the reception that our orthodontic team have received from the KOL network. But remember it's not a pure a aligner product, it's a combination product that we believe will in the end be very effective and will continue to be well-received as more patients use this product.
Erin Wright: Great, thank you.
Operator: Your next question comes from the line of Steven Valiquette from Barclays. Your line is open.
Steve Valiquette: Great, thanks. Good morning, Stan and Steve. So couple quick ones here, you mentioned 18 to 24 month pay back on the new restructuring once completed; I guess just to clarify, are you able to comment on whether you're capturing any material benefit from restructuring in the back-half of 2018 in particular? Does it have a positive impact on the 2018 non-GAAP EPS guidance?
Stanley Bergman: Yes, on that, there will be some benefit we believe, but it's a little early for us to quantify the benefit that will be in the second-half, because again the completion and the timing of those activities is still being calculated. But we do expect some benefit in the back-half of the year as well as going forward. And it has very attractive returns even at the high-end of 24 months still very attractive returns, and it's important for us again to do a combination of lower the cost structure as well as free-up follows for alternative investments.
Steve Valiquette: Okay. And then just a quick gross margin question, the commentary hasn't really been consistent over time, at least from some of your competitors on whether the dental gross margins are higher on consumables versus dental equipment, just remind us where you shake out on that comparison again, just without giving a specific numbers, but just which ones higher versus the other, it seems like the commentary is kind of been mixed over time and throughout the industry, but just curious where that stands for you guys today. Thanks.
Steven Paladino: Yes, for us, we have been consistent. Our gross margins are higher on the consumables and equipment. They're both very good gross margins, but relative to each other the consumable's a bit higher. So I'm not sure what you're hearing from other industry sources but we consistently said that.
Steve Valiquette: Okay, that's helpful. Thanks.
Stanley Bergman: Okay.
Operator: Your next question comes from the line of David Larsen from Leerink. Your line is open.
David Larsen: Hi, congrats on a good quarter. Can you talk a bit about your plans to drive higher gross margin like in sell of Henry Schein brand products, some tech investments in other areas. Thanks.
Stanley Bergman: Sure, David. Thank you for your question. I'll give you some high-level and maybe Steven can provide more color. First of all, it follows really our strategic - the three kinds of our strategic plan; on the distribution side, the goal is to move to high value products. There are some branded manufacturers working with us, some private brand manufacturers working with us, in other words, not valid for the customer our products where we are receiving manufacturer support and driving margin at the same time, driving efficiencies in the business to drive up the - drive down the cost and drive up the operating margin. So, all of that does include the bucket. The second bucket of course is our value-added services. And on the dental side, a huge focus on Henry Schein One; this team has been busy now for over a year working on integration or the plans for the merger, and now the integration, had not been focused on sales much, they've not been focused hugely on margin management, they are not bringing this significant integration into play. Just with the team last week and it's really exciting, the opportunities to use AI, Big Data, Small Data, some call it, to advance the practice to drive demand for dentistry, working of course with the Internet brands, ownership of WebMD, all very, very exciting opportunities that will drive sales stickiness, but high margin. I think we've indicated in prior press releases that we expect over the next two to three years to generation $20 million.
Steven Paladino: $20 million to $30 million.
Stanley Bergman: $20 million to $30 million of increased profits in this business; our team is very optimistic. And then, the last, the third bucket is our own brand, which includes of course the private brand. And then in the specialty areas, where we manufacture products, but also have products manufactured for us. We are doing quite well in the implants area, we expect to do - there are some strategic additions to that platform hopefully in the not-too-distant future, both in implants and bone regeneration areas. We are doing very well in those two areas. On the endodontic side, bringing innovation to market, but also having a very good position in the lower price also a good product, more generic endodontic treatment arena, lots of opportunity there. And then the orthodontic space as we described with aligners, but also with our core orthodontic offerings, which had really done very, very well from an innovative point of view, and are now gaining market share in this country, and we expect growing market share abroad. So you all add all of that together and that's what's going to drive, but of course, that brings us altogether across the company is the advancement of digital technology interoperability, bringing all three businesses together, lots and lots of opportunity to really have a one-stop-one-Henry Schein-solution to our customers that I think will drive out margins. And also, the connection between our dental business and our medical business in advancing our wellness and prevention should all in the end drive out margin. This is a carefully thought out plan, no difference of previous years or previous strategic plans, and we will execute piece-by-piece and expect to continue as we have for the past 23 years as a public company driving up sales, operating margin, EPS, and yes, cash flow. Steven, anything to add?
Steven Paladino: Yes, I think you covered it pretty fully. The only thing maybe I'll add is on the Henry Schein One. Those synergies that we noted, $20 million to $30 million by the end of the year three, synergies are very high percentage of those, revenue growth and getting a deeper adoption of some of the services on to our software use of platforms, so that will drive higher revenue growth within the technology segment as well as higher margins as those products get adopted. And similarly on the specialty products, we are growing the specialty products faster organically than the non-specialty products as we just talked about earlier on this call, plus there is opportunity for inorganic growth from time-to-time in the specialty area. So we feel good about continuing to move the mix towards higher margin products. We recognize that that's important for our overall financial model. So those will be only few comments I had in addition to you, Stanley.
David Larsen: Thank you, Steve.
Stanley Bergman: Thanks for the question, David.
Operator: We have time to take the last question from the line of Jon Block from Stifel. Your line is open.
Jonathan David Block: Hey, guys. Good morning. I appreciate you taking the questions and fitting me in. Maybe two; first one, I'm going to actually attack on Steve's earlier question on dental gross margins, I know you said consumable higher than equipment, but can you comment on call consumable specialty versus at a basic, just curious because it does look like specialty has been and may continue to just grow faster than basic. And then, I've got a quick follow-up.
Stanley Bergman: Yes. The specialty margins are very, very good, especially in more matured businesses; for example, our implant businesses are quite profitable, and expecting to become even more profitable over time, we are investing - have continued to invest heavily in expanding the platform inorganically and through more efficient production capability. So I think that's an area that has done well for us. The endodontics is more profitable and also not as profitable as the orthodontics, but much more profitable than the core distribution of dental products in general; lots of opportunity there. And orthodontics was relatively early in the game, but the profits are pretty good. We will not say, "Early," we had been the businesses for about a decade, but we had really seen the benefits from our adjustments in terms of management KOLs in the last few years, but the margin is good and is expected to be greater. So on balance, this is the business that is much more profitable; the specialty areas and our core business. Having said that, remember, a key part of our core business is also to sell traditional products to those specialists. And that is also a profitable business. And generally those specialists have a bigger wallet to spend money on - for example, equipment, and yes, software, and then I would add one other thing, we are also advancing our software businesses in these areas. We announced - still they're not closed - our investment in very successful orthodontic software business I believe that has the largest installed base of orthodontic software to supplement our endodontic; very good installed base, I think the largest, and likewise with oral surgeons.
Jonathan David Block: Got it, very…
Steven Paladino: Jon, just one other comment, I just want to make sure if I understood your question; my comments on gross margin has been higher on consumables. It's true even after you exclude specialty product. It becomes greater on the gross margin benefit, or it's true even excluding these specialty products.
Jonathan David Block: Got it, very helpful. And a follow-up, Steven for you is, can you just talk about at a high-level where the margin compression maybe coming from. And I'm just curious because the 6.1 adjusted internal growth was one of the stronger numbers in a while, and then you also had some of the higher margin dental consumables that came back this quarter. So wondering if you can call out a division or an area where some of that year-over-year margin impression came from? Thanks, guys.
Steven Paladino: Sure. Well, clearly it's on the gross margin side. And there are couple of factors that we are continuing to invest in as we get future growth that goes into gross margins. So for example, on equipment gross margins, our service technicians that due to repair and installation of equipment is shown - that expense is shown as part of cost of goods sold. And as we make investments to expand the capabilities, especially since we expect to significantly grow our equipment, that's having some impact on the dental equipment gross margins. Similarly, in our technology business, support - technical support for technology is a significant portion of technical support that is also part of cost of goods sold in the technology business. And again, as we make investments in that area, in anticipation of the ramp with Henry Schein One, you are seeing some impact on those two areas. You have to make the investment price to the actual sales coming. So that's why you are seeing a little bit of the impact on the lower margin this quarter. And hopefully that will be very success as we get additional volume in future quarters.
Jonathan David Block: Very helpful, guys, thank you.
Stanley Bergman: So, Operator, I think we need to end the call now. So let me make some closing comments. We are of course pleased with our results for the first-half of 2018. We continue to advance our intellectual capital and the value-added solutions that we offered to our customers. And I would say driven by a highly motivated team Schein, spent a lot of time in the field in the last quarter, from Asia to Europe to North America, and our outside morale is really good. This is a key differentiator in our go-to-market strategy. The fact that our team is so highly motivated in advancing plans to improve on our customers, practice efficiency, provide them with tools, to provide better clinical care, and our customers rely on us as trusted advisors to understand their challenges and pain points. We are offering practitioner solutions and services to really help them management practice and achieve their goals. We have a lot of exciting strategic initiatives underway. As part of our three-year strategic plan, I believe we are highly focused; the team is motivated as I said, and I believe we are well-positioned for another successful three years to execute another successful strategic plan. So, thank you for joining us. Thank you for your interest in Henry Schein. If you any further questions, please feel free to contact Carolynne Borders, in Investor Relations, at 631-390-8105. Steven is also available at 631-843-5915, and looking forward to speaking to you again when we report our third quarter numbers and results performance in November. So, have a good rest of the summer. Thank you very much.
Operator: This concludes today's conference. You may now disconnect.